Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:02 Thank you for standing by. This is the conference operator. Welcome to the FLYHT Aerospace Solutions Third Quarter twenty twenty one Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions.  If there are any outstanding questions at the end of the call, the company will be happy to take them by e-mail to investors at flyht.com. 0:46 I would now like to turn the conference over to Bill Tempany, Chief Executive Officer for FLYHT. Please go ahead, Mr. Tempany.
Bill Tempany: 00:54 Thank you very much. Welcome to our third quarter call everyone. We're very excited about the progress that was made in the last quarter. Today, we're going to have Alana go through some of the financial highlights, and then I'll go through with some of the business highlights and what we expect to see from the industry and from our products in the future. 01:15 So Alana, over to you.
Alana Forbes: 01:17 Thanks, Bill. Our Q3 performance really reflects the efforts we're making at FLYHT to improve our business and be well positioned to assist our customers as they recover from the pandemic. Our revenue quarter-over-quarter increased for the first time in almost two years, significantly from last year's Q3. Our revenue increased by fifty five percent to three point two million dollars. 01:44 SaaS was down from Q3 last year, but we showed an increase in that category over Q2 as our customers and the world is showing inconsistent recovery through the quarters. So we're fully getting there. Changes are being made, but the recovery has been inconsistent as we see the results of the second, the third, the fourth subsequent waves. 02:10 Our hardware was up from a year ago, and we were really happy to see increases in licensing, particularly we were over one million dollars in Q3 versus just a nominal amount in Q3 last year. This we see as a really positive sign as the industry is starting to move on new aircraft purchases and leases. And for FLYHT, it's really helpful to the bottom line given the high gross margins of that revenue stream. Our gross margins were pretty similar to Q3 last year. 02:45 Looking at operating expenses, they increased by twenty percent compared to Q3 twenty twenty. And the main reason for that is our government grants have been changing. We were able to access grants and funding through the U.S. government in twenty twenty, but not in twenty twenty one. The Canadian government helped with those throughout twenty twenty and twenty twenty one. But that -- those programs have been changing and the amounts available have been dwindling. We'll feel a little bit in Q4. But those programs have really come to an end. So that will be -- I will see likely -- what we've seen is I will see. 03:31 The increase in the distribution category, in particular shows an improvement in our bad debt reserves. Our customers are recovering and they have been paying more consistently. So we've seen that reflected in the numbers. They've been really focused on paying down their past overdue amounts and so that has been really positive for us. The increase that you're seeing in research and development costs really reflect our investments in building out our actual intelligence product suite and the effort that was involved in -- and has been involved in building out our Edge product. 4:16 Both our EBITDA and net loss have shown improvements over Q3 twenty twenty. We've been able to control costs, access governmental support where possible and really trying to minimize the impact of the pandemic on our bottom line. 04:32 Looking at our balance sheet, we ended the quarter with positive working capital of six million dollars compared to just over three million dollar at last year end. At September thirty, we had eight point three million dollars in liquidity available to us with five point four million dollars in cash, one point five million dollars available to us in our undrawn line of credit and one point four million dollars remaining in contributions under our governmental loans to the WINN program that we haven't received yet. 05:05 We continue to apply for funding on a quarterly basis. And typically, we've received one chunk of WINN funding per quarter. Q3 wasn't received until Q4. So the impact is seen to cash. We'll see that in Q4. And we're expecting to see few chunks of WINN funding to be received in Q4 versus the typical one to make up for the amount that we didn't receive in Q3. 05:32 During the quarter, we really took some important steps to enhance our capital structure and provide the company with more flexibility to carry out our growth structure. In July, we closed on an oversubscribed private placement, resulting in proceeds of six point six million dollars and directors, officers, senior employees contributed ten percent of that total offering. Those funds -- some of them remain on the balance sheet, as I was mentioning with our five point four million dollars remaining in cash at the end of the quarter. Some of it was used to repay in full our convertible debentures during July, though one point eight million dollars used for that. 06:14 We invested in inventory to secure some of our longtime items. And we also used a portion to acquire the Water Vapor Sensing System product line WVSS-II from the SpectraSensors to enhance our weather business. We purchased that line for five million dollar U.S. and we now only books (ph) airborne weather sensors in the world. We anticipate this will be accretive to earnings. 06:44 And you can see the increase on our balance sheet in the PP&E area, intangibles and inventory as we recorded on the balance sheet, what we see exact items and the assets that were purchased from that product line. And we continue to evaluate other possible accretive acquisitions. 07:08 All right, back to you, Bill.
Bill Tempany: 07:09 Thanks very much, Alana. I think that if you look at Q3 this year compared to Q3 last year, it's been a transformational twelve months. The industry is still in turmoil with the changing regulations, our directors  for our directors meeting this week, the hopes they have to jump through to get all of the right task at the right time to catch an airplane, and it wasn't the first airplane. It was the one to Canada, they put out an exceptional effort to be here for the meeting. It's the first in-person Board meeting we've had since I came back to the company, and it was an extremely productive meeting where the Board members got to mix with the staff and the management and see what we've achieved as a company. 08:04 We're very proud of the transformation in both our products, our customer mix, and particularly our staff in being able to deliver solutions quickly to our customers as problems are identified and solutions defined. Being an independent company, not a Tier 1 supplier to the airline, to the aircraft manufactures, there's proving to be a real benefit to play. We don't go out and try and sell replacement parts. We are selling services. We're helping the airlines utilize the information to improve their financial performance and that's being very well regarded by the customers when we go and talk to them about what we do and how we do. 08:55 The fact that we've been around for twenty years, we have a strong balance sheet that we've got people that have been in the business. We hired people out of the industry as product owners in the company and they can go and talk to peers in the industry in a very knowledgeable way, gives us a really strong capability to develop our SaaS focus. One of the questions that came in on the Investor page was the SaaS isn't growing as quickly as any of us would like. But it's because of the industry, it's not because of our capabilities or our products. 09:33 Our hardware products are very critical in our business plan to provide information for our SaaS products that's not available normally to airlines. And so we've been working on the integration of those hardware products for the aircraft to drive SaaS revenue. And SaaS revenue isn't going to grow as quickly as selling hardware because the hardware is a onetime upfront lumpsum fee. So you're going to see, as the airlines recover and get back into doing normal c-checks, hardware is going to be a part of the next year of the recovery from the pandemic, but the SaaS revenue will grow, will continue to be strong. 10:13 And the products and services that we're bringing to the market are the things that the airlines are saying they need because they've got individuals that came back from the pandemic, and they did one job before the pandemic, and they got four jobs to do today. We're looking for ways to streamline, the industry is having trouble hiring people. I'm sure everybody is seeing the news where American Airlines canceled two hundred flights on weekend, Southwest Airlines canceled four hundred flights because of lack of staff and trying to get the machine back working and we're helping with that. 10:51 Our flights are recovering. Our customers are slowly coming back to service, and it's tentative because every time they've geared up to come back full stream in Canada, particularly in June, July, it was -- in Alberta, it was open for the summer. And then the fourth wave hits and everything shuts down, and they got to rewind and figure out how they're going to restart. Changing rules for our guys that have to do international travel for aircraft certification. 11:23 You have to plot your trip to and from on when you can get a COVID test and where you can get it and when it's going to be ready. And then if you miss your flight, you got to start all over again because it expired. So it's a very difficult environment to operate in and the lumpiness of our SaaS revenue is because of that. Our customers fly what they can. 11:48 One of the things that I've discussed with Alana, we've always separated the license fees from the SaaS revenue because it is something that we get an order one quarter, nothing for three quarters, then a big order per quarter and then next on another quarter. That license revenue is really selling our software and our IP to an end-user. And we separate it because of the lumpiness. But if you combine the SaaS revenue and the SaaS revenue, we've got really strong growth in our high-margin revenues over -- year-over-year from last year to this year. 12:28 We've got about twelve million dollar last twelve month revenue ramp. But one of the things that is happening is customers that have ordered services and hardware are looking at those and saying, okay, that aircraft has been parked for two years, but it's going back into service and they are restarting their c-check schedules, they are restarting their service schedule. 12:56 And we see a good strong recovery coming in outside of the market, which will also drive SaaS revenue. So there's lots of earning power in the IP that we have and the customers that we have and the market is looking for solutions that we're building. So I'm very confident in what we're going to be able to build for a revenue stream over the next few quarters as we see how the world unfolds from this catastrophe. 13:22 I think we're in the best position we've ever been in as a company from a financial statement point of view, from a team. The people are here. They're motivated. They're knowledgeable. They're trained. They've got new tools. We've been working really hard with Amazon web services to become a critical partner there and what we're doing. We've got the industry -- we've got the industry's attention. We've hired people over the last year, people like Billy Cecil, who's been in the industry for twenty years and done data transfer and data collection for all the major airlines in the world. Billy is in  this week as a keynote speaker at a conference talking about the move from 4G to 5G. Our device is 5G and I think that a lot of the customers are going to say they're going to jump from the 3G solution they got today to a 5G solution because how long will 4G be around once 5G is out. 14:23 I think that our disruptive technologies that we have put out there and we continue to build that integrate the airline, airport and aircraft data to give a different view of the data to give the operational excellence that the airlines are going to need to get back full strength are going to take the twenty years of technology that we've put together and put it to really good use. 14:50 We are reusing probably eighty percent of the software that was written for the original AFIRS unit on the Edge and all of the capabilities on data handling, data transfer, on-wing flight data management are going to be incorporated in that blocks, and that gives us tools to do things that nobody else can do. 15:11 We've said all along that we're very focused on our ESG efforts. Part of the reason we purchased the WVSS sensors because it ties into our ESG strategy to be a partner with the industry and the government and the agencies that are looking at climate change, that are looking for data to monitor and help and improve that. 15:36 And we've had really interesting discussions through this purchase process with some very important agencies in both aviation and the weather community on where WVSS fits in the long-term strategy to monitor hurricanes and wildfires and tornadoes and all of the things that really rely on the humidity of the atmosphere and the accuracy of our TAMDAR WVSS products give them a very unique deal of that data. 16:07 We're working very, very diligently with China to help them put more sensors on aircraft in China. It's a large chunk of the planet as far as the land mass goes and not a lot of data available for the World Metrological Association for that land mass. So the weather part of our business is not shown a great deal of revenue over the last two to three years, but we do have plans to really expand that and expand our presence in that market as the regulations get tighter and things move along. 16:45 Aircraft emissions is a huge problem. Everybody understands that they do navigating their power to reduce that. There's two hundred companies out there today that when they can get three percent fuel savings by various means. And there are lots of technologies that will help with that. I think we have the best technology on the plant to monitor that and help people reduce the time that the aircraft is staying on the ground with the engines burning, give them information, so that they're applying smarter, straighter and slower because if you've got somebody that says I'm supposed to be at Calgary airport at 2:20 and you know that there's somebody stuck at the gate because they had something done, and they're not going to be able to get into the gate until 2 25, they can get a message to the operations control center that this factors and tell the guide to life his foot, don't get there on time, just get a little bit later, and we're not going to be circling and waiting for landing slot. You're not going to be burning as much fuel because you can use up the delay by flying slower instead of flying further. 17:56 So we're building a bunch of tools for the efficient use of fuel that helps the airline save money, but it also helps the environment by reducing the amount of fuel that's build. The money that Alana referred to in R&D for our products and our tools, we've built a product called JetBridge, which gives us the ability to interrogate data from existing systems, integrate it with data from the aircraft and provide real-time actionable intelligence to the people that are making the operations on the aircraft, on the ground or during flight and give them a better picture of what's going on with that aircraft and how you can improve the financial and fuel performance of that aircraft in real time. 18:46 And that's what we set up to do a year ago. As I said, I have got a team in place that can do that, that's delivering that value. We've got a strong balance sheet. We're actively pursuing other companies in our space that would add to our capabilities and add to our knowledge base. And over the next few quarters, I think you'll see some really good news about both our revenue increase from our existing tools and products and some acquisitions that we're working really hard on and have been for quite some time. 19:22 So with that, we'll through to open for questions and happy to answer anybody's questions here or investors at flyht.com if you don't get into the queue.
Alana Forbes: 19:35 So before we go to the queue, there was a second question in investors.com or at investors at flyht.com. Could you explain the revenue model for the weather sensor service?
Bill Tempany: 19:47 Okay. Right now on the TAMDAR system, we provide the data to a third-party who incorporates it with data from ground stations. We get paid per observation. The deal we have right now, we get paid through this third-party. No one pays all those bills and then they redistribute it for the World Metrological Association. We're working with several other meteorological groups to do both direct feeds of that data into their systems and also to be able to collect the data from sensors that exist today on other aircraft to get to both the weather's forecast services and other companies that want to be able to use that data. So it's based on a pure sensor reading. Great. Any other questions?
Alana Forbes: 20:52 That’s it from the e-mail.
Operator: 20:54 Yeah. We will now begin the question-and-answer session.  The first question comes from Bruce Krugel, Private Investor.
Bruce Krugel: 21:22 Hi, Bill. Hi, Alana. Congratulations on the Comac C919 design. I just wanted to confirm that you will win -- you will be installed on all planes coming off the production line in China?
Bill Tempany: 21:44 The SATCOM is an option. And a lot of C919s are likely to be shipped to India, Africa. India has banned the Iridium bandwidth. So C919s are being shipped to India. They will not have any  on it because it's Iridium based. If they ship to Africa, they likely will. I think that every aircraft shipped in China will be equipped with Iridium. And it will be our device as far as we know today.
Bruce Krugel: 22:23 Okay. Because I was looking at production volume forecast. And it's a new line that starts off a little bit slowly, but the one that I was reading was talking about one hundred and fifty aircraft per annum by the telemetry as the volume production, which would be quite a sizable , if you get a fair chunk of that?
Bill Tempany: 22:47 I feel currently we'll have a really good chunk of that, but it is an option. And with our contract for Airbus, from what we can figure out, there's about seventy five percent of the A320 that go out of the factory that have a  and we don't really get very good visibility on whether -- when they buy a license from us, whether it's going into new aircraft or a retrofit. Initially, there were a lot more orders that are being produced on the A320. So we know there was a big retrofit market there. But today, I would say that roughly three quarters with 320s produced have got SATCOM on it and fair (ph) blocks.
Bruce Krugel: 23:35 Okay. I just want to go into more detail on the weather front. I came across an excellent document written by the World Metrological organization where it deals specifically with aircraft based observations. It's volume twenty one, April twenty twenty one document. And it goes into AMDAR, your WVSS and TAMDAR in a fair amount of detail. And what is clear from that document is outside of AMDAR, you own the only weather measurement equipment. 24:09 So one of the points that came out of it is that there are significant structural changes within the World Metrological organization as a target aircraft based observations, and they're aiming at expanding and enhancing ABO systems. In your discussions when you acquired WVSS, did you come across any of that indication from the World Metrological organization?
Bill Tempany: 24:39 Absolutely, we did. At one point, we read were to the center systems, people and fair block. The way the deals structured and the things that we have to do, we just can't make a business case out of this. And they did an announcement that they were going to stop building WVSS because there was no business case for it. There was an immediate reaction from the U.K. met, no China met. We had about eight different agencies, say please, please, please don't let that go away. 25:19 The TAMDAR sensor is a good sensor. It's fairly accurate. WVSS is a much more accurate sensor because it uses a different technology than TAMDAR to find that and the WVSS sensors are critical to the models, particularly in the U.S. because of the Tornado Alley and the hurricane seasons and the wildfires in California, the atmospheric humidity changes very rapidly in very strange ways. And if they're going to do proper forecasting, they need that. 25:57 There's an article, it was written by Noah. That said, the lack of airborne observations because of COVID had reduced the accuracy of the U.S. weather forecasts by fourteen percent I think, some number like that. It's in our financial statements, I think, the quote from Noah on what it did. So they all encouraged us to find a way to do the deal and buy this. 26:25 One of the things with WVSS is it doesn't have a temperature sensor built into it because the aircraft it was installed on all have accurate temperature sensors in the aircraft. So they just use that data feed so you need the temperature as well as the humidity. One of the advantages of our TAMDAR system is it does temperature as well as humidity and on aircraft like an ATR or Dash eight doesn't have an accurate external temperature sensor. It's better data for weather forecasting to use TAMDAR than it is for WVSS. 27:01 So these products, although they're very similar, are very unique in their -- in the fleets that they are best for and both products will be long-term survivors. We're having weekly discussions with the Metrological Association and some of the airlines that are key partners of NOAH in this and working on a plan to enhance and expand the capability of using these sensors.
Bruce Krugel: 27:33 Okay. We're going into more detail according to this document. There are one hundred forty eight installs of the WVSS, and that's primarily through UPS and Southwest. But those revenues go to Rockwell Collins. How are you going to transition -- how are you going to generate revenues from WVSS going forward?
Bill Tempany: 27:53 I can't talk about that right now, but I'll tell you, there's a very good plan that's being worked to have that revenue grow elsewhere.
Bruce Krugel: 28:01 All right. Carrying on a net front, it goes on into the TAMDAR, and there's a fair amount of documentation about the cause of lack of flights, the TAMDAR weather readings have decreased, et cetera. So there's three hundred and twenty eight TAMDAR installs and at the time of the writing of the document, only one hundred twenty seven aircraft were active. Your SaaS rates were down five percent on a year-over-year basis. And I suspect, the fair chunk of that is because of weather. When can we expect to see TAMDAR weather revs start to recover?
Bill Tempany: 28:37 Well, a lot of our biggest users of TAMDAR is AirAsia. And as you know, AirAsia has been hit harder than most with the pandemic because when they closed all of orders down there, and in country, Malaysia flight is about twice as long as the runway in Kuala Lumpur. So there's not a lot of flights been going on. And the big reason for the reduction in the number of summing as well as the revenues as because AirAsia hasn't been flying. We've had recent correspondence with AirAsia that they see some light at the end of the tunnel. I think they've got maybe fifteen aircraft out of one hundred fifty active today. They're working at an increased forty by the end of first quarter or something like that. So it is going to come back. 29:30 The other TAMDAR sensors, a lot of them were on --  Dash eight Q4 one hundred fleet and again with the pandemic, they just aren't flying the flights that they would normally be. But Alaska, I think, they had a lot of the other airlines in their recovery. And we should see that coming back. Believe me, everybody would love to see all of that come back, not just the weather forecasters, and there's no reason they aren't going to. The airlines, all of our customers, except for to survive the pandemic, two of them went into receivership, one has been refinanced and come out and reinstalled acreage on their fleet. 30:18 The other one in the Caribbean, as long as everybody can get out of the snow this winter and gets to the Caribbean, they'll be back, and they've already told us that they're going to reinitiate AFIRS as soon as they're back out of receivership protection. So I don't have a crystal ball as far as when that's going to happen, but I'm confident that none of us are going to stop flying if there's a way we can do it, we'll grow a lot of out, so we're going to be back in the air as soon as it's practical.
Bruce Krugel: 30:51 Okay. And then I'll just finish off of the same document. It was a comment, and you alluded to it in your prepared remarks, the U.K. intends to proceed with initial implementation of thirty WVSS Systems. Program approval has been granted. Are you aware of this and will you be the beneficiary of that decision if it were to move forward?
Bill Tempany: 31:16 Yes and yes.
Bruce Krugel: 31:20 Okay. Thanks, Bill.
Operator: 31:25 The next question comes from Jaeson Schmidt from Lake Street Capital Markets. Please go ahead.
Jaeson Schmidt: 31:32 Hey guys. Thanks for taking my questions. Bill just curious if could update us on the actionable intelligence rollout. I mean at onetime revenue was started to kick off here in Q3 and start of ramp going forward. Has that time table been pushed out at all?
Bill Tempany: 31:48 Yeah, it has. It's been pushed out mainly by the fourth wave. I was out for getting with the President and one of our customers about four weeks ago. And he said, for every one hundred reservations, they're taking today, they're getting seventy five cancelations. So they're having a real hard time planning loads and destinations and airport staff availability and pilot availability, and it's just a nightmare to juggle list. 32:25 And as I said in my prepared remarks, the people are being recalled back to the airlines that used to do one job or coming back and be given four jobs and they're trying to learn new jobs. They're trying to get things done with less people and to low demand with new systems to say that you need to learn this too, that has been a challenge. They all want to do it. They're all -- the communications are strong between the customer and us. The adoption of the software has been slowed by the availability of people to take the time to do it.
Jaeson Schmidt: 33:03 Okay. That all makes sense. And maybe not so much looking at sort of the labor market correction, but are you seeing any constraints from a supply side, electronic component side?
Bill Tempany: 33:15 We're in really good shape. As Alana said in her remarks, we spent about zero point five million dollars on inventory. We went out and did large buys of any critical components that could have been tied up in the supply chain before the problem became as big as it is. And we've got all of the critical parts that would have to come in from anything outside of North America to build our next two to three years of forecasted product. So we protected ourselves. That was what part of the raise was for to make sure that we don't get into supply chain issues on our hardware.
Jaeson Schmidt: 33:58 Okay. That’s helpful. Thanks a lot guys.
Bill Tempany: 34:03 No problem. Thanks Jaeson.
Operator: 34:04  There are no more questions in the queue. I'd like to turn the conference back over to Bill Tempany for closing remarks. Sorry, part of the introduction, we have one more question. The next question comes from Marc Berger from MKB Associates. Please go ahead.
Marc Berger: 34:29 Hi. How are you?
Bill Tempany: 34:32 Good great.
Marc Berger: 34:34 Question on the sales team. How many people do we have on it? And is there any consideration of still increasing size of that as well?
Bill Tempany: 34:45 Marc, everybody in this company is a salesman. We're out there beating the streets and talking to anybody who listen to us. But the formal sales and marketing team, I think, is nine people now. And we have got one more that I don't want for sure if they're going to be in the sales and marketing side or in the development team, but we've got a position open, so look for -- we are going in a business analyst, but somebody with airline experience that can help with writing proposals and doing financial models and helping the sales team do better proposals and so on. So a sixth of the company is sales. 35:37 And as I said, everybody in the company is a salesman. When a proposal comes in or a request for proposal comes in, people from all departments chip in and help with it. And when we're doing presentations, we've got people from development or engineering or hardware that go along with the salespeople to support for technical questions. So we've got a strong, good, solid sales team in place.
Marc Berger: 36:09 Okay. Besides the commercial side of the business, are you guys looking to center some time into freight carriers and business jets or is it still going to mostly concentrate on commercial vehicles -- on commercial airlines?
Bill Tempany: 36:28 So we're about eighteen percent of our fleet today is in freight. And we've got some solutions that the freight companies really love because they're flying -- they don't fly to the same airport every day. They go to a different airport every day and there's no infrastructure to support the aircraft there. So we do have a strong contingent in freight. And that's part of the reason that our SaaS revenue didn't drop as far as the industry norm or the industry drop during the pandemic because the freight carriers were really busy. 37:04 Business aircraft, we were fairly heavily involved years ago with NetJets and had it installed on the hawker jets before hawker quit building and then they decided to not fly those aircraft anymore. Your Jack Olcott still on our Board. Jack is the founding father of NBAA, and we've actually had discussions in the last week with him about the Edge product, our new product and some of the things that we can do for business aviation, that they just wouldn't put a full-blown efforts on to do. So today, we don't have a business aircraft group, but we are looking at the opportunity to sale at the Edge.
Marc Berger: 37:47 Okay. Also could you give us some type of color on the size of the actionable intelligence orders that we could bring in? I mean, what is each contract worth one million dollar, five million dollars? What kind of numbers do we look forward to?
Bill Tempany: 38:07 Well, we've been doing with looking at what individual components, what we believe we can get per revenue per month per tail. And I look at these opportunities with twenty-year deals. Once an airline, historically, when we get AFIRS onboard and we get the systems integrated, we've got customers that are seventeen, eighteen years, they've been with us doing this, so they're not going to change. So what we've been doing is looking at individual components and whether we can get one hundred a month or three hundred a month per tail for each of the applications. That's how we're going about it. These are not -- when we do the press releases, we'll be doing them in a five-year, if this would be the value of that contract. But what I've got the sales team focused on and our whole company focused on is that's going in on one hundred dollar, two hundred dollar of tail per month deals and now add up to some really nice numbers really quickly.
Marc Berger: 39:12 Okay. Last question, with regard to mandates, can you give us an update as to China mandates and anything international or U.S. or whatever in terms of timing?
Bill Tempany: 39:28 Well, like everything in aviation, the mandates sort of put in place and then ignored and delayed and postponed by the airlines because they've got other things they want to be doing instead. And the SATCOM mandate in China is a great example of a mandate that comes along, that should be really good for us. We've got three hundred to four hundred aircraft installed in China with our system. I believe two thousand of the three thousand units that Airbuses provided have gone to China with SATCOM unit on it to meet that SATCOM mandate. Again, I don't have visibility on it, but that's sort of the range. 40:08 If you look at the international sales aircraft and the percentage that go to China, it would be on that range of the units that Airbuses put out in China. There's no mandate today in coming I know in the U.S. or Canada that's going to affect us. We expected that we would get the timely recovery of data mandate to give us a favor because our streaming capability would meet all those requirements. And Boeing and Airbus decided they were going to use deployable recorders. And so hereon, I love to know that every new aircraft coming out going to have an eight pound box that can be ejected at any time over a city. It's a great solution. Here on, the brains would do.
Marc Berger: 40:58 All right. Thanks, Bill. That’s all from me.
Bill Tempany: 41:03 Okay. Have a good day, Marc.
Marc Berger: 41:06 You too.
Operator: 41:07 This concludes the question-and-answer session. I'd like to turn the conference back over to Bill Tempany for closing remarks.
Bill Tempany: 41:15 All right. Again, thanks, everybody, for your time. And as I say, we're very excited about the progress we've made to date and the opportunities ahead of us as the industry recovers. So stay tuned, we're here for the long term, and it's going to be a fun ride.
Operator: 41:31 This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.